Operator: Good morning, and welcome to the Tristel plc Interim Results Investor Presentation. [Operator Instructions] Before we begin, I would like to submit the following poll. And I would now like to hand you over to the management team of Tristel. Matt, good morning to you.
Matthew Sassone: Hi. Good morning. Thank you for joining us today for Tristel's interim results H1 financial year 2026. I'm joined today by Anna Wasyl, Tristel's CFO; and Julija Shabanova, who is Tristel's Executive Director. I appreciate that Julija may be a new name to some of the investors that are joining us today. So let me just give a brief background into her. She's been Executive Director at Tristel and President of our U.S. subsidiary. This year actually marks her 20th year with Tristel. So she's a very long-serving member of the team. Julija has really been an instrumental part of the leadership team. She executed the scientific program with the FDA, securing our U.S. market entry and really has been leading our commercial efforts with working on the launch of our 2 key products there, Ultrasound and OPH. As we go through the presentation, Julija will be updating you all on the progress we're making in the U.S.A. So that being said, let me just also take a moment to acknowledge the announcement that was made earlier this year that I will be stepping down as Chief Executive at the end of the financial year. This was a deeply considered personal decision. Tristel is a business with exceptional people, a strong depth in its leadership and a very clear strategic outlook and trajectory. A little bit of background as to my reason why. Essentially, I was offered a once-in-a-lifetime opportunity that was impossible to turn down. But I do leave Tristel with the thought that the future is very bright. I remain fully committed to the business until the end of the financial year and supporting with a smooth transition as the business looks to identify its next Chief Executive. I am very confident that the businesses are well positioned to deliver long-term shareholder value. And as you will see from the set of results that we present today, the company continues to go from strength to strength. And as I said, the future is very bright for Tristel. That being said, let's start with the presentation. I appreciate that there may be some new investors joining us today. So let me just take a brief moment to explain Tristel, who we are and what we do. Tristel is an infection prevention company. We use our highly differentiated chlorine dioxide chemistry in order to prevent the transmission of microbes from patient to patient or patient to caregiver. What we do is pretty unique, and we address an unmet need in the market by providing high-level disinfection at point of care. I can answer some further questions if people have questions about the products we offer and what we do. But what I suggest is I now hand over to Anna, who will take you through the financial performance in the first half of the year.
Anna Wasyl: Thank you, Matt. Good morning, everyone. I will walk you through our financial highlights. I'm very proud to present a strong set of numbers for the first half of the financial year. These are unaudited figures in our interim figures. We've been very happy to see 14% growth in revenues, reaching a record level of GBP 25.6 million. The growth came up both from our home market, our U.K. market as well as overseas market, and we're very happy to see significant growth in the U.S. that we will tell you more about. That growth flowed through the P&L with expanding margins. So our adjusted profit before tax went up by 11% to GBP 5.5 million. Adjusted EBITDA was up by 17%, and our adjusted EPS is at 9.36p. The adjusted measures are adjusted basically for share-based payments and exceptional items, which are related to CEO and CFO succession costs. Our cash and deposits reached GBP 13.3 million. We remain debt free. And we are planning for the interim dividend of 5.68p to be paid in April. I will move on to show our key indicators. I believe they are a strong reflection of our very good track record historically of financial performance. The first graph shows revenue track record, which, as you can see, has been consistently growing with a very short flat period during COVID times. What I'm very happy to see is that both this year as well as last year, we see a big portion of the growth coming from volume rather than price gains, meaning that we are delivering more procedures and gaining market. In terms of expanding cash generation, another KPI we are very proud of, we have generated GBP 6.7 million in cash in the first half of the year, and we continuously improve the cash flow generation kind of quarter-by-quarter. And that, of course, allows us also to -- for progressive dividends. When it comes to profitability, the bottom graph, we are currently at 29% of adjusted EBITDA margin, which is well above our commitment of 25%, and we believe that the outlook for the year remains similar. I have a summarized income statement here. There is also a complete income statement in the appendix to the presentation and of course, in our interims. These are unaudited figures. I have already mentioned the top line growth. Maybe another thing that's worth attention here is impact on our gross margin. So we had 81% gross margin compared to 82% in the first half of last year. The reason for that is that we have in-sourced production of wipes, and we already see the full cost impact of that in the first half of the year, so with increased depreciation as well as production staff. However, the savings have just started to be realized in the first half of the year. And we believe that the full rate of savings will be visible in the second half of the year, which is GBP 300,000 per our estimate. And that's basically because we have to sell off the inventory of the wipes that were purchased from the supplier prior to the in-sourcing project. Another development you can see here is increased administration and distribution expenses. That's really reflecting our strategy to continue investment in sales and marketing. You will also notice probably an increase in depreciation and amortization, and that's partially driven by the in-sourcing of the wipes machine, but partially also by a GBP 300,000 write-off of intangibles. Our adjusted PBT margin it's at 21%. The adjusted profit before tax went up by 11%. And as I mentioned before, our margins remain above the commitment. Looking at some balance sheet KPIs that I would like to draw your attention to. So firstly, net working capital that we have continuously seen improving. Currently, if you look at net working capital over revenue ratio over annualized 12-month period revenue, is at 15%. That speaks to operational efficiencies and positions us well for growth. When it comes to return on capital employed, we also see very strong ratio. We are currently at 25% ROCE and that speaks very well to the long-term value creation. And finally, progressive dividends. So as many of you know, we have been every year paying -- increasing the dividends paid. And we also this year, we aim at honoring the commitment for progressive dividends in the year. And the announced interim dividend is at 5.68p. That's flat compared to the first half of last year. However, in the full year, we still plan to increase the dividend per share. Complete balance sheet or I would say, summarized balance sheet here with a complete one in the appendix. I will not go through the details here because there are no major movements. And the balance sheet remains strong, cash positive, which gives us really plenty of financial capacity to support our investments and growth initiatives. The following slide, I will spend a little bit more time on, that's our geographic performance. So on a constant currency basis, the group has grown by 12.4%. And in our home market, U.K., we've seen continuously strong growth, only nearly 13% growth, which benefited from both procedure increase as well as very strong performance of our surface disinfection product line. What's important here to acknowledge as well is that we had a bit of a positive seasonality impact with some large NHS orders at the end of last calendar year. When it comes to the other European countries, we are very encouraged by the recovery of French market, which grew at 13%. We have strong leadership there. We have seen growth there coming from our core products in the Tristel Medical Device disinfection range as well as some increased utilization in our large accounts. Italian market has also grown 13%, also coming from our core products in medical device decontamination range. What we have also seen in Italy is an increased number in tenders for high-level disinfection, which for us means a mixture of contracting existing sales as well as new demand as we won these tenders. In other European countries, we also see double-digit growth, and we continue to invest there with the expectation to see further growth in the future. The APAC region is a little bit of a mixed performance. As you can see here, we have grown 0.3%. There are pockets of business there where we have very strong growth, double-digit growth in Singapore and Malaysia, for example. However, in other markets, we had a bit of a challenge, and I think specifically China. Similarly to what other medical device companies have seen, we also saw a market slowdown in China in the first half of this year. We are traditionally targeting mostly private hospitals, and we have seen some bankruptcies of the customers there. It seems to be related to the change in local policy and how the health care system is being financed. So we will monitor the situation going forward. And of course, we are looking at also diversifying more into other hospital types. I believe this is everything about the geographical performance. I will spend a little bit more time on explaining the American revenue streams, which I'm sure you're interested to hear much more about. And following this section, Julija will present in depth the performance on the U.S. market. So here, if you would like to look at global currency, our direct product sale has performed very well. As you know, we have launched in the first half of this year, Tristel OPH product, and that growth is -- or growth related to that launch is in the first line of direct product sales. We are very happy with that performance. It has been really taken up by customers faster than we expected. Our royalties, which are related to Tristel ULT, sales have reached GBP 116,000. That's more than complete annual royalties from last year. So we're also very happy to see that. And finally, our distributor sales in Canada and Chile have also shown double-digit growth. And with that, I'm going to pass to Julija.
Julija Shabanova: Good morning, everyone. Thank you, Anna. So I'll provide a little bit of insight into U.S.A. performance. We had a strong first half. For Tristel ULT, our high-level disinfectant of ultrasound probes, the in-market sales are approaching USD 1 million, contributing $153,000 in net profit through royalty income. The sales volumes represent 320,000 procedures, equating 3x the procedure numbers from the same period last year. The growth is well balanced. We are seeing increased utilization within existing accounts alongside a healthy pipeline of new opportunities. High-level disinfection of ultrasound probes is performed across various departments in hospitals. For example, urology, emergency departments, radiology. Once we enter the health care system to address their immediate clinical need, we then focus on expanding product use across additional departments. Over the past 3 months, our partners have onboarded 90 new sites, and the team is currently progressing with 150 hot leads in evaluation stage with a further 140 in active engagement. Based on our current momentum -- sorry, something happened on my screen. Based on the current momentum, we expect to exceed $2 million in in-market sales by year-end, providing a strong platform to achieve and potentially accelerate our 5-year projections for capturing 4% market share by 2030. We have -- opportunity in high-level disinfection of ultrasound probes is developed in partnership with Parker Laboratories, a privately owned market leader in ultrasound gels with a 60-year heritage. The Parker sales team is fully trained and well established, and Parker has invested over the last 2 years to build a team of 10 sales representatives. Parker operates through a well-established network of national distributors, including Medline, Henry Schein, Cardinal Health, ensuring broad market access. In addition, Parker has recently secured agreements with group purchasing organizations, further streamlining procurement processes and expanding product availability through users' preferred vendors. The strategic partnerships with ultrasound probe manufacturers create valuable opportunities for co-marketing and referrals. For example, our collaboration with BK Medical and Exact Imaging, both specialists in urology provides immediate referrals because Tristel ULT is the preferred solution for urology probes. Those specific devices do not fit into currently available automated reprocessing systems and allow us market entry into the hospitals. The strong OEM relationships also support ongoing device compatibility validation. We have more than 1,200 probes already confirmed compatible with Tristel ULT. Inclusion of Tristel ULT in clinical standards, together with positive feedback from a growing user base is strengthening user confidence. Since launch, 4 key standards and guidelines have included chlorine dioxide foam as an appropriate high-level disinfection solution for ultrasound probes. Tristel ULT has been selected for evaluation by ECRI, an independent not-for-profit organization that assesses medical technologies. The result in report and discussion will be published in ECRI's Membership magazine, and the Membership represents 50% of U.S. hospitals. This is a significant independent assessment of Tristel ULT and is also highlighting focus on ultrasound decontamination in clinical practices. We continue to receive excellent feedback from users, and Tristel ULT will be featured an educational session at APIC 2026, further raising awareness within the infection prevention community. Our progress with Tristel OPH is equally strong. First half of financial year, the revenues are $88,000 and are ahead of our initial expectations as we anticipated some lag within procurement process. We have an excellent distribution partner in Advancing Eyecare Group and Advancing Eyecare distributes Tristel OPH through its portfolio of well-established brands, which provides immediate access through its existing vendor contracts. In preparation to our Tristel OPH direct sales, we established a Boston-based team comprising 3 roles: business development, marketing and digital product specialists. With that, we have secured 43 active users and have 160 opportunities in evaluation and engagement stages. Some of America's leading eye providers are choosing Tristel OPH. The product is manufactured in the U.S. by Parker Laboratories and our gross margins are in line with group targets with the scope for further improvements as we scale up. To maintain momentum and build our initial user base, we're actively expanding our commercial footprint. We are recruiting sales representation in Midwest and West Coast. We have signed a distribution agreement with Keeler USA, a manufacturer and distributor of ophthalmic diagnostic devices as well as supplier of wider equipment and consumables for ophthalmology clinics. Keeler USA is primarily serving nonhospital ophthalmology clinics and private practices, making this a highly complementary expansion alongside our direct sales teams that targets hospitals. We are also developing partnership with ophthalmic device manufacturers. These collaborations create multiple commercial touch points for us through referrals, marketing opportunities and co-exhibition opportunities, educational webinar opportunities. Together, they will strengthen our market visibility and support adoption and accelerate access to new users. Inclusion in device-specific IFUs, instructions for use remain an ongoing priority, and we are around 50% through implementing the updates of those device instructions for use. The multicenter study is underway with the intention of publishing findings in peer-reviewed journals. The objectives of the study is to highlight the risks associated with the ophthalmic device use, point out the lack of current feasible disinfection procedures and lack of guidelines, document the experience, hand-on experience of Tristel OPH use and ultimately provide best practice recommendations for high-level disinfection of ophthalmic devices. Tristel OPH is unique in enabling high-level disinfection with minimal disruption to clinical workflows. This positions us strongly to establish a leading role in the high-level disinfection of ophthalmic devices. With this, I'll conclude my update and hand over to Matt to talk about our future development.
Matthew Sassone: Excellent. Thank you, Julija. As you can see, some really encouraging progress in the U.S.A. and some real continued momentum in the 2 products that we now have there. As we look to the future, the Tristel story is one of continued investing for future growth and by realizing the opportunity ahead of ourselves. We do that in many different ways and have many different strategic levers that we are pulling. Obviously, the most obvious is the investments that we do into our commercial teams, and that has continued. And actually, the business has intentions to accelerate that investment as we look to the year ahead. As previously communicated to investors, the greatest opportunity for growth is the geographic expansion. And what I like to refer to as raising all boats. What do I mean by that? I mean by taking the market share and the leading position that we have in the U.K. market and replicating that in the other markets where we are present today. And as Anna outlined, you can see that we're starting to really get some great traction, especially in our European markets. To augment that, obviously, we invest in the teams. And our plan this financial year was to have a 9% increase in the number of heads that we had with the vast majority of those heads being invested in commercially facing customer-facing roles. Given the strength of the first half of this year and sort of the outlook that we have, we've decided to accelerate and increase that investment, and we'll be adding a further 13 heads to our commercial organization this year. 9 of those heads will be commercial salespeople and 4, which I'll come to talk about will be more clinically focused. Those investments are going where we are seeing the growth. So we're targeting those towards the likes of Germany, France, Italy, the Middle East and into Asia. And this really strengthens our route-to-market, it enables us to sort of build on what we have today to win more business as well as drive increased utilization in those accounts that are using us today. Alongside this, we are rolling out a database sales effectiveness program using [ sort of like ] globally adhere to salesforce.com CRM as well as increasing our spending on promotional efforts and attendees -- attending trade exhibitions, et cetera. We do recognize that as part of this, we have to continually reinforce and expand our clinical leadership. Tristel obviously is well known and respected in the market, but we recognize that physicians and health care providers buy from one another. They buy from the recommendations. And as the business grows and matures, it's also we need to continue to invest in this part of our sort of team today. Today, we have 3 full-time equivalents that are focused on driving our medical affairs, our clinical research. And we're going to add to that. We're underway with recruiting a Chief Medical Officer and also 3 clinical portfolio leads. And really, this is all about enhancing our medical affairs capability, being able to invest more into sort of clinical evidence generation, drive more with regards to sort of guidelines and also expand our key opinion leader engagement program and build that advocacy around the globe. We've spoken about our strategic intent to build on our sort of digital foundation and drive our digital leadership. Today, we have the 3T platform, which is our sort of train, track and trace platform that supports the products and supports our customers today. I've spoken about how we have this sort of great digital footprint with our customers and how we want to build on that and create a multi-tier Software-as-a-Service program. We are -- we have those development programs underway and the team are working hard to sort of take what we have today and build a scalable recurring digital revenue stream for the business in the future. In addition to this, we also, in the first half of this year, launched our own sort of like private internal AI agent, which is really about sort of improving our operational workflow and supporting us in our daily tasks. This isn't about replacing -- AI replacing people's jobs. This is just about sort of like taking our internal data in a very sort of controlled and closed way and embracing technology to make the teams more effective and enable them to do more. And then finally, with regards to our digital leadership, we continue to expand and sort of try to react to customer asks and requirements. And we've done that by -- sort of by enhancing our online commerce platform and having a web shop. We're in the process of launching this out to markets. So at the moment, it is only sort of like available in select geographical markets, but we are -- have plans and the program is underway to expand that out across the globe. And then continuing to develop into our products and ensuring that as we look to the future, we have our product leadership. What I can say is we launched VISICLEAN recently. That launch has been underway. The reaction from customers is extremely positive. It is really a wow product. It does genuinely get that kind of reaction from our customers when they see it. And we have some customers that have already purchased the product. But VISICLEAN is definitely reengaging us with customers sort of reinforcing Tristel's leadership in this high-level disinfection field and enabling us to sort of grow our business and expand our business. But we're not stopping there. Yes. We have plans underway for new products in the medical device disinfection as well as the surface disinfection. But we also have evolved in our approach. We are now sort of entering sort of a mentality about rapid prototyping and testing, failing fast and then refining and moving forward. And what do I mean by that? Well, if we look at the medical device disinfection, we have a new product that's meeting a current unmet need by the customer. And we have a program and a trial underway in one European market that we are sort of testing, evaluating, refining our approach before we then move forward with the product development and move to what we would class as a commercial launch. We're doing the same in the medical surface disinfection, where we have identified, again, a significant unmet need by the customer. The current products on the market are not satisfying the customer needs. It's becoming a far wider issue and something that we -- where we feel that our chlorine dioxide chemistry could play a role. So we have undertaken and currently have underway 7 different evaluations in multiple different European markets where we are testing, again, testing the water, that rapid prototyping and really refining our approach. So when we do move to commercial launch, we have a much greater belief in our ability to drive success in that arena. And we continue to sort of invest in sort of by reinforcing our long-term growth pipeline with new products. So as you can see, the first half has been a strong performance. We have committed to our investors these metrics. And our performance is also enabling us to invest to ensure that we will have confidence in being able to meet these metrics as we look to the future. So our targets are between financial year 2025 to financial year 2030. We want to be able to drive double-digit revenue growth annually. First half of this year, we achieved and delivered 14%. On the EBITDA margin, the adjusted EBITDA margin, our commitment is to maintain a minimum of 25% annually. In the first half of this year, we achieved 29%. And then on our dividend policy, we continue to pay a dividend. And as we've alluded to in this presentation, in the first half, we'll be paying a dividend of 5.68p per share. So as we look to the future, what I can say to investors is the results are in line with expectations. The business remains firmly on track to meet the market expectations for financial year 2026. We have our strategic plan, and we are investing and executing upon that plan. We continue to invest in our commercial leadership, our clinical leadership, for example. And we recognize that international market expansion is our greatest driver for growth. This raising all boats will lead to our future success. We are greatly encouraged by the progress we're making in the United States. That sort of commercial momentum is clear. The flywheel is driving faster, but it's also supported by the core underlying activities. As Julija spoke about, those guidelines, having had -- having now got 4 guidelines in place, something that normally takes many, many more years in other markets. The team have done a really fantastic job in getting to this point. Our awareness in the market, the understanding of the power of chlorine dioxide is there. We can see that coming through both on the ultrasound, but also on the OPH product as well. And that early customer adoption is incredibly encouraging. Our strategic focus remains the same, and Tristel remains well positioned to deliver long-term shareholder value. So with that being said, that wraps up our presentation, and we'll now move to the questions and answers.
Operator: That's great. Thank you very much indeed for your presentation. [Operator Instructions] While the company take a few moments to view those questions submitted today, I would like to remind you that recording of this presentation along with a copy of the slides and the published Q&A can be accessed via our investor dashboard. Matt, Anna, Julija, we have received a number of questions from today's meeting. And I wanted to start off the Q&A session with the first one here, which reads as follows. What specifically is your strategy and operational actions for growing sales in the U.S. as traction appears to be slow?
Matthew Sassone: [ Julija? ].
Julija Shabanova: Yes, I'll take it, of course. We have a strong diverse infrastructure for distribution in place for Tristel ULT. It's with Parker and direct sales team as well as multiple distributors. We are seeing real progress through the last 6 months. Initial pace may have been slower than expected, but the work that we have carried out, the inclusion of our technology in standards and guidelines, the work with key opinion leaders and positive feedback from existing users are all making the difference. And we can really see that the pace of our progress is picking up. And with continued execution of our strategy, we are confident in delivering on the expectations that are set for next 6 months and beyond. And for the OPH specifically, we're investing in recruitment and expansion of the sales team.
Operator: Next up, 2 questions on trophon. Nanosonics recently opened an office in the U.K. What can you say to investors to ease the concerns about the competitive threat from trophon? And the next one is, how do you plan to outcompete trophon in the long run?
Matthew Sassone: Let me take that one. It's interesting because Nanosonics has been direct in the U.K. market since 2013, 2014. So -- and I think they've had an office for a period of time. So I wouldn't say recently opened an office and nothing has changed with regards to their operations in the U.K. as far as we are aware. What I -- to add to and build on that is continue to see Nanosonics as a competitor. But when we look at our performance that we've had in the U.K. and both at a sort of like the macro level, but also down at a customer level, we continue to win share. We continue to be successful. We continue to drive growth. So we kind of coexist with regards to sort of Nanosonics. They do have customers in the U.K., but we do not see their presence having a negative impact on our performance in the U.K. market. And that's been the same for the last decade or so. Outside of the U.K. market, the same can be said for some other markets as well where sort of Nanosonics is present. I suppose the sort of the real market where Nanosonics is, is the U.S. market. And when you look at their financial results, you'll see that about 90% of their revenues come from the U.S.A. So this is really where we are sort of competing. Nanosonics have been present in the U.S. market for many more years than us. We're only just getting started. And what we're seeing is, is that there are a number of customers in the U.S.A. where we are sort of addressing an unmet need where the sort of Nanosonics offering is not sort of acceptable to them or ideal for them. And we're able to sort of like provide a solution to those customers. As our business builds and as we're seeing when we look to the U.S. market, there are some instances where we have fully replaced sort of Nanosonics in those accounts. But on the main, we are cohabiting with them, and we're providing the same sort of like sort of solution to customers, which is high-level disinfection. As we look to the future, we feel with sort of the guidelines endorsing us, the traction we're getting, the independent sort of like organizations recommending us that will become a much stronger competitive threat to Nanosonics in the future.
Operator: Thank you, Matt. And I know you've spoken about the U.S. in the previous question, but we had another one here on U.S. tariffs. How have U.S. tariffs impacted the business?
Matthew Sassone: Anna, Julija...
Anna Wasyl: I can take it. I mean, we have not seen a significant impact from U.S. tariffs basically because our partner that Julija referred to Parker Laboratories are manufacturing the products sold in the U.S. on our licenses. So basically, we -- this is a way that we have hedged against changes in tariffs.
Operator: Perfect. Thank you, Anna. Next one here is, are you targeting certain background types of salespeople?
Matthew Sassone: Yes. I will say it's a personal frustration of mine that we can't recruit salespeople as fast as I would like. And I have lots of discussions with the sort of MDs around the world about their recruitment and trying to accelerate. We are very choosy about the people that we hire. And what we want to have is ensure that we're getting people that really are able to sell the value of chlorine dioxide. And that is part of our success, and I respect the fact that the MDs are really taking their time to find the right individuals. It's very easy to recruit a salesperson to sell a medical device. But what you want is you want someone who truly believes in what they're selling. A customer can tell the difference. Someone who is an expert in the field is able to be that consultant to that -- to the customer and really support them. And that's what we look for. So our recruitment is probably slower than I like -- would like from a time perspective, but I greatly respect and endorse the fact that we are taking our time to find the right candidates because if you have the right individuals, they're the ones that make a difference.
Operator: Perfect. An investor asking here, do you sell to Scandinavian and Baltic markets? If not, do you plan to?
Matthew Sassone: Yes, we do. We have distributors in -- for all of the Scandinavian countries, and we work through them. With regards to the Baltics, yes, we have distributors in that part of the world as well.
Operator: Is sales profitability rather than volume to value part of any sales incentive program?
Matthew Sassone: What I would argue is we enjoy sort of like -- we enjoy high gross margins. We're a very profitable business. So from our perspective, what we're looking to do is to drive the utilization of our products, expand the number of procedures that we're being used on and sort of like ensure that we don't -- sort of don't, as a result of those efforts, dilute our profitability by sort of controlling and incentivizing our teams accordingly. So what do I mean by that? Well, for us, we track the number of procedures that we've been used on as well as looking at the sort of headline revenues. We have a tight control over our pricing, both at a sort of a global level and then at a more local and regional level. And also, we focus on the product mix and the split. So what I would say is that we are focused on profitable sales, but what we're primarily focused on is expanding our reach and expanding our share and realizing the opportunity ahead because we know that when we get the sale, that flows right away through to the -- through the P&L.
Operator: Moving on topics to patents. What patents do you have? And when do they expire?
Matthew Sassone: We have a suite and a family of patents and they are both sort of like geographical in reach and also have a sort of a big reach in regards to sort of what they actually protect. As I've explained to investors in the past, IP is not our only protection and the only sort of moat that we have for our business. We have -- at our core, we have a sort of trade secret about the way and the mechanism that we're able to create chlorine dioxide safely at point of care. We also have all the regulatory approvals around the world and the national guidelines endorsing our chemistry. And then as mentioned in the presentation, the working with the OEM, the original equipment manufacturers to have us written into their IFUs and endorsing us is also another part of our defensive moat. So there are many different sort of layers with IP just being one part of it.
Operator: And the last question we've got here is, what is the worldwide market opportunity for VISICLEAN?
Matthew Sassone: Yes. I would point investors to our sort of presentation that we gave in October where we gave a bit more details on VISICLEAN. So VISICLEAN is a visible verification that the health care provider has adequately cleaned the sort of ultrasound probe or the medical device and also it's a visible verification that the chlorine dioxide chemistry is being effective. So if you sort of like go and have a look at our presentation or some of the videos at the Investor Meet video from October last year, you'll be able to see us demonstrating that and see it working in practice. It is a sort of like an ancillary product to our DUO foam offering that we have, and it really is about sot of addressing the cleaning step before the higher level disinfection. So in the presentation we gave in October, we basically said, look, if we were to take -- if there was to be a one-to-one relationship between the number of DUO procedures that we sell and all of those customers then sort of using VISICLEAN, we're looking at somewhere in the region of 15 million sort of procedures being done with VISICLEAN. So there's a nice opportunity there for us with VISICLEAN. And we recognize it as a sort of like interesting and potentially profitable product within our fleet and our offering.
Operator: Perfect. That's great. Thank you for addressing those questions from investors today. But before I redirect investors to provide you with their feedback, which I know is particularly important to you and the company, Matt, can I please just ask you for a few closing comments?
Matthew Sassone: Yes. Absolutely. As investors can see, it's another set of strong results from Tristel. We continue just to sort of deliver as always against the market expectations, and we remain firmly sort of like on track to meet those guidelines. Tristel is a fantastic company with great products, brilliant people and the future remains very bright for the organization.
Operator: Fantastic, Matt, Anna, Julija, thank you once again for updating investors today. Could I please ask investors not to close this session as you'll now be automatically redirected to provide your feedback, which will help the company better understand your views and expectations. On behalf of the management team, we would like to thank you for attending today's presentation, and good morning to you all.